Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2008 Oil States International Earnings Conference Call. My name is [Sylvana]. I’ll be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I will now like to turn the presentation over to your host for today’s call, Mr. Bradley Dodson, Vice President and Chief Financial Officer. You may proceed sir.
Bradley Dodson – Vice President and Chief Financial Officer: Thank you. Welcome to the Oil States' first quarter 2008 earnings conference call. Our call today will be led by Cindy Taylor, Oil States’ President and Chief Executive Officer. Before we begin, we would like to caution listeners regarding forward-looking statements. To the extent that remarks today contain information other than historical information, we are relying on the Safe Harbor protections afforded by Federal Law. Any such remarks should be weighed in the context of the many factors that affect our business, including those risks disclosed in our Form 10-K and our other SEC filings. I will now turn it over to Cindy.
Cindy Taylor - President and Chief Executive Officer: Thank you, Bradley, and thanks to all of you for dialing into our call this morning. Oil States posted record results in the first quarter of 2008, which were significantly above FirstCall estimates and our previous guidance range. As most of you know, this is the seasonally strong quarter for our Canadian operations, strong utilization of our oil sands, large accommodations, and our mobile camp equipment fleet led this segment to report record results. Our deepwater capital equipment business also performed well on a year-over-year basis. In addition, we benefited from the two rental tool acquisitions that we completed in the third quarter of 2007. For the first quarter of 2008, Oil States reported record revenue of $601.2 million, EBITDA of 125.8 million and net income of 66.5 million or $1.31 per diluted share. Our revenues and EBITDA were up 3% and 33% sequentially. Bradley will take you through in more details of our consolidated results and then I will come back on the line to conclude our remarks with a discussion of each of our individual business segments and close with our thoughts as to the market outlook.
Bradley Dodson – Vice President and Chief Financial Officer: Thank you, Cindy. For the first quarter of 2008, we reported operating income of $101 million on revenues of $601 million and EBITDA of $126 million. Our net income for the first quarter of 2008 totaled $66.5 million or $1.31 per diluted share. The comparable first quarter 2007 results were $83 million of operating income on revenues of $481 million with EBITDA totaling $98 million. This first quarter of 2008 results represent a 25% year-over-year increase in revenues and a 28% year-over-year increase in the EBITDA. Depreciation and amortization in the first quarter of 2008 totaled $22.7 million compared to $14.4 million in the first quarter of 2007. This increase was due to the acquisitions and the capital expenditures made over the past 12 months. D&A is expected to be $24.4 million in the second quarter of 2008. Net interest expense totaled $4.3 million in the current quarter and $3.9 million in the first quarter of 2007. Second quarter net interest expense is expected to be $4 million. The effective tax rate in the quarter was 32.7%. This marginally lower rate was due to reduced tax rates in foreign jurisdictions. Turning to the balance sheet. Our net debt at the end of the first quarter was $475 million, up from $461 million at the end of the fourth quarter of 2007. This was due to $61 million in CapEx spent during the quarter and 29 million spent on two acquisitions with the spending partially offset by operating cash flow. Our debt to capitalization ratio was 31% as of March 31, 2008. At this time, I would like to turn the discussion back over to Cindy, who will review the activities of each business segment.
Cindy Taylor - President and Chief Executive Officer: Thank you, Bradley. Our Well Site Services segment was up sequentially 27% in revenues and 45% in EBITDA due to increased contribution from our expanded accommodations in the oil sands region, partially offset by seasonal softness in our Rockies operations and project delays in certain of our US rental tool operations. Our accommodations revenues increased 60% sequentially and our EBITDA increased 32 million or 110% due to contributions from expansions of our Beaver River, Athabasca and Wapasu Creek oil sands lodges, coupled with heavy utilization of our mobile camp assets. We remain at full effective utilization levels in all three lodges that are experiencing seasonally reduced demand for our mobile camp assets. During the first quarter of 2008, we continued to expand our capacity in the oil sands regions with the acquisition of the Christina Lake Lodge in February 2008 as well as commencing construction of our fourth major lodge, the PTI Conklin Lodge. Both of these lodges are located in the southern oil sands region and expand our presence in this growing area serving several SAGD developments. On a sequential basis, our rental tools revenue was essentially flat but EBITDA declined 9% due to startup costs for our expanded operations, some project delays and pricing mix issues. Sequentially, our drilling revenues and EBITDA were up 4% and 11% respectively due to increased utilization in margins in our West Texas drilling operations, partially offset by seasonally lower utilization of our Rockies drilling rigs. Our average daily revenues were up $300 per day on a sequential basis and our cash margins were up $200 per day due primarily to improved cost absorptions in our Texas operations. In our offshore product segment, we reported revenues of 126.9 million and EBITDA of 24.1 million compared to revenues of 141.2 million and EBITDA of 21.3 million reported in the fourth quarter of 2007. Margins in our offshore product segment improved sequentially and on a year-over-year basis. Overall, our EBITDA margin in the first quarter improved to 19%, increasing from 15% in the fourth quarter of 2007 and 17% in the first quarter of 2007. Our Tubular Services revenue and EBITDA were down sequentially 9% and 8% respectively as our tonnage ship declined primarily due to seasonally strong orders in the fourth quarter of 2007. Sequentially, our gross margins improved to 6.1% from 5.7% realized in the fourth quarter of 2007. Industry inventories continued to decline due to strong demand, reduced import, and US mill production challenges. Industry OCTG, industry inventory levels are currently at 4.3 month supply based upon the April OCTG situation report estimates. Now if I could, I would like to give you some of our summarized comments as to the market outlook as we move into the second quarter of 2008. Within our Well Site services segment, we will continue to see significant growth opportunities for our accommodations business in the oil sands region. In the second quarter, we will continue to execute our previously announced expansions of our Conklin and Wapasu lodges. However, the second quarter is our seasonally weak quarter due to Canadian breakup we expect accommodations EBITDA to be down 55 to 60% sequentially in the second quarter due to the seasonal decline in activity related to breakup. We expect second quarter EBITDA margins to be comparable to second quarter 2007 margins as a result. Our rental tool contributions are expected to remain fairly flat sequentially given normal seasonal decline during breakup in Canada, offset by higher commodity prices in the US, which should translate into increased completion activity and momentum. Land drilling utilization in West Texas recovered nicely in the first quarter. We should see further utilization improvements in the second quarter as activity in the Rockies recovers from the seasonally soft first quarter. Overall, we are forecasting utilization of approximately 86% in the second quarter, up from 75% in the first quarter of 2008. In our offshore product segment, our backlog position remains at strong historic levels overall, and product mix and margins within backlog remain consistent with recent levels. We continue to forecast second quarter EBITDA margins in the range of 16 to 18% on continued strong sales activity. As for Tubular Services, industry inventory levels have continued to decrease on a month of supply basis. With rising steel import cost, recently announced price increases about a major US mill, coupled with continuing strong demand, our second quarter outlook for Tubular Services is more optimistic than it has been in recent quarters. Given that the second quarter is our seasonally weak quarter in Canada, our earnings guidance range for the second quarter is estimated at $0.90 to $0.97 per diluted share. We remain very positive about the long-term prospects for our company particularly given the strong rebound in natural gas prices, which has led to announced spending increases by many of our key customers in the United States. That concludes our prepared comments. Sylvana, would you open the call up for questions and answers at this time.
Operator: No problem. (Operator Instructions). And our first question comes from the line Jeff Tillery from Tudor Pickering & Holt. You may proceed sir.
Jeff Tillery: Hi, good morning.
Bradley Dodson: Good morning, Jeff.
Cindy Taylor: Hi, Jeff.
Jeff Tillery: The seasonality that you guys are guiding to in the second quarter is kind of towards the high end of the range of what we have seen historically, and I think it’s pretty similar to what we saw in 2004. Could you just talk about what in the first quarter drove Q1, are there unusual high or is there anything unusual that you see in the seasonality going forward for the second quarter?
Cindy Taylor: Well, I just think what we are really dealing with, with an exceptionally strong first quarter on all fronts our major large facilities as we indicated would fall during the quarter and our mobile camp equipment was extraordinarily busy. A lot of time, you know, we had both large camps and smaller camps we've made investments in these larger camps particularly in support of SAGD drilling operations, and pipeline construction operations that are tagged to the oil sands development. But nonetheless, you can’t drill there nor build pipelines during break out. So that will come down hard and has as the conventional place that really the conventional side of the business is less meaningful compared to the significant impact in the oil sands areas. So, I think the answer to that is we are just coming of a higher base if you will from where we have been before and a portion of that is driven by growth in our large facilities, which are year around and therefore non-seasonal. But again significant growth in our mobile camp rate that does remains seasonal.
Jeff Tillery: And endeavor in the past, you have given us an indication of how much of the accommodations business was in oil sands, could you do that of course for the first quarter as well?
Bradley Dodson: Sure. I believe it was $94 million of oil sands revenues and -- $94 million of oil sands revenues and about $46 million of oil sands EBITDA. That includes both the largest and the mobile camp equipment.
Jeff Tillery: Is it fair to say that that those mobile camps were somewhere in the kind of 30 to 40% early numbers for first quarter? Is that a right ballpark?
Bradley Dodson: That’s right.
Jeff Tillery: As you guys look at rental tool margins going forward do you think that the first quarter is kind of dropped or do you think we should can see a decline with Canadian activity down in the second quarters as well?
Cindy Taylor: I’m sorry, would you repeat that just a second.
Jeff Tillery: Sure. Could you talk a little bit about your outlook on rental tool margins, do you think that the first quarter has soften those margins or do you think we see a little bit of a decline with the second quarter decline in Canadian activity?
Cindy Taylor: I think that we should stay pretty flat if not slightly improved. And you are right we have the seasonal decline in Canada that’s not the biggest percentage obviously of our tools it’s a much smaller piece. But offsetting that we expect improvements in the US from where we were in the first quarter due to the thing that we mentioned. We had some startup costs, and some of our expansion opportunities including Mexico and a couple of the resource play areas. There were some particularly on the deepwater sides deferrals of activity that are going from Q1 to Q2 and mix was a bit of an issue for us to as well with some of them were just being, the activity was there, but at lower pressure work we are of course higher rental rates come on high pressure type work. So, kind of mix plays on the impact. But I think, if I look at those two things, I would expect flat to slightly improved margins in Q2 on a EBITDA margin percentage basis.
Jeff Tillery: Okay. Thank you very much.
Cindy Taylor: Thanks, Jeff.
Operator: And the next question comes from the line of Victor Marchon from RBC Capital Markets. You may proceed.
Victor Marchon: Thank you. Good morning.
Cindy Taylor: Hi, Victor.
Victor Marchon: First question, I had can you just give us an update on how the new Waterfront facility is going?
Cindy Taylor: I can. Obviously, I don’t remember we had just closed that on February 15, in the first quarter. It’s a 22 acre property with about 200,000 square feet of enclosed manufacturing and assembly type capacity and capabilities with just about 400 plus tons above the head crane capacity. So it's really, ideally suited for a lot of this large project work, which is being let in the market place now some of which we were trying to handle and do in our Houston operations. We got a new manager out there, we have increased the staff and we are fully operational at this point in time. Of course, we were working on an outsource basis, prior to buying the facility. The kind of work that we got in the facility right now is an BOP stack up work, six platform work and rise or handling equipment, most of this of course is backlog that we already had in our South Houston operations. So it's more about transfer of work and kind of the de-bottlenecking right now to ensure we make deliveries. Our goal of course is now to, over the time build a standalone backlog for that facility and to become more self-sufficient, that will take some time obviously to do. But the facility itself is very functional working and we are making a handful of improvements there already.
Victor Marchon: Thank you, all for that. And will it be fair to say that from a standalone backlog standpoint that we will look at the second half of this year?
Cindy Taylor: Yes.
Victor Marchon: Okay. Just switching over to tubular services and looking at some of the recent price increases from the mills, you know, pretty significant. I want to see if you could sort of quantify, where margins could be on that business in the second quarter given the price increases that we’ve seen to date?
Cindy Taylor: Well, it’s obviously a question mark. We see what I hope doing at this point in time and what’s really happened, is been just a dramatic change in the tubular business over the last 60 or 90 days. And there have been several price increases announced the once early in the first quarter were smaller and it’s kind of 75 to maybe $100 a ton range late in the quarter more increases were announced and most recently US deals within the last 2 to 3 days announced an additional $250 per ton surcharge on all product delivered effective May 1st. We are scrambling a bit in terms of communicating that change to our customer base, but steel prices are moving significantly and as you know, that does improve our margins and our commentary on the call is clearly suggestive of improved margins. I can’t give a number in terms of what they will come out to be overall, but I think you could look in the range of 200 basis point improvement from where we were in Q1, if the market holds, it certainly looks like it is.
Victor Marchon: And last one I have was just on land drilling side, I just wondered if you could just talk to what you are seeing on the pricing side, as well as expectations of utilization getting back up to the 85, 86% range in the second quarter, what the operating cost would do under that utilization expectation?
Cindy Taylor: Victor clearly, the first and immediate thing that we want to do is get our utilization up. And we do had good success in Texas during the first quarter. The Rockies were particularly hard. This last quarter our utilization isolated just on the Rockies worth 49% compared to 60% in the Rockies in the first quarter of ’07. So particularly difficult weather conditions, we need to get those rigs back to work and the get the utilization up. So that looks good. Just from a standalone company basis, from a more macro basis, as you know the industry as a whole is putting rigs back to work, which will firm up that pricing environment, you certainly think, how is that from the major drilling companies to date. And we are seeing the same thing, but our first goal is to get utilization up that helps us obviously as you point to on a cost per day basis simply because you got a broader base working rigs to spread, spread the cost over. I think we’re looking in the range of $500 per day margin improvement as we reach these utilization levels. We are not forecasting price increases at this stage. I think the industry needs to firm up a bit before we get there.
Victor Marchon: Okay, great. That’s all I had. Thank you and congratulations on the quarter.
Cindy Taylor: Thank you so much Victor.
Bradley Dodson: Thank you, Victor.
Operator: And the next question comes from the line of Ken Sill from Credit Suisse. You may proceed.
Ken Sill: Thank you and good morning.
Bradley Dodson: Good morning.
Cindy Taylor: Hi, Ken.
Ken Sill: I wanted to follow-up on the new capacity addition in offshore products. Obviously, you've got a lot more capacity with the new facility. Is there any idea on what your new you know, is there any idea of what limitation could be now in terms of run rate on revenue with the new facility?
Cindy Taylor: Well, I think the point that I’m trying to speak to, we have got to build the backlog for the facility is a very sizeable, significant facility and we have already got to work for that. And I don’t know for 75 rigs or so in the facility already and could expand that. Obviously, we got that backlog in the facility. So, again it’s going to be what types of product are let in the marketplace and our ability to build that backlog. But you’re right the capacity is there, our challenges to do the engineering work necessary and bid successfully to get a stronger backlog. In the meantime it’s additive and helpful just in the sense that improving our ability to deliver on time to our customer base.
Ken Sill: And then a follow-on to that is as you kind of integrate that facility and ramp it up, what kind of an impact on margins could that have over the next three, four quarters?
Cindy Taylor: Well, we’re not -- I don’t -- I have to tell you until I get a revenue base more sustainable. I really don’t know the answer there. But we’re going to be bidding obviously products that are comparable to what we have currently in a backlog. So, I don’t know that yet I’m willing to say, it really enhances margins. It depends on the mix that goes in that facility and whether if it’s kind of fabricated assembled product that’s not unnecessarily leverage our margins, but it won't hurt us either.
Ken Sill: So if it is assembly type work, it is not going to help you, but if you can actually gets better absorption from…?
Cindy Taylor: It helps us obviously from a revenue standpoint and absorption standpoint and just the growth margin attributable to the individual projects that are in there.
Ken Sill: Yeah, I was just kind of curious, if you could give -- how much impact you might get out of just absorption, if there is no change in mix, but you just get the volumes up in there?
Cindy Taylor: Yeah. It’s just a little early to tell. I mean it was not you know, it seems pretty apparent that we can pay that off rather quickly based on activity that we foresee going into the facility, but we really need to get it ramped up.
Ken Sill: Okay. And another thing that seems to have come up is the rise of essential shale plays in Canada. Is that going to have an impact on your mobile camp business?
Cindy Taylor: It could. I mean the question is the timing of the ramp, but in fact, we are having a strategic planning meeting much of which is to assess our opportunities in some of these developing shale play markets. But that would absolutely be a positive driver for mobile camp fleet, as long as there has been an area such as deep sea where you need camp. If it’s in a non-camp type territories, Saskatchewan, and a few other places it won't help us as much. But every indication is that there would be if those plays develop that there would be a need for equipment and we want to be very proactive and on the forefront there so that we have the capacity if and when the demand arises.
Ken Sill: Okay. Thank you very much.
Cindy Taylor: Thank you, Ken.
Operator: The next question comes from the line of Kevin Pollard from JP Morgan. You may proceed.
Kevin Pollard: Thanks, good morning.
Bradley Dodson: Good morning.
Kevin Pollard: Hi, I want to pursue your oil sands just a little bit more. Specifically the role the mobile camps play in that I mean, I know there is more seasonality there that you might think with those mobile camps in Q1. It sounds like that is accounting for most of the drop-off in Q2. Where would you begin to get that kind of $30 to $35 million I guess, it sounds like of mobile camp revenue back in Q3 and Q4?
Cindy Taylor: Without speaking to the dollar amount, because I don’t have that clearly in front of me Q2 is always the hardest quarter as you go and break out you need things to dry out and firm up quite frankly. And again, I hope I have covered it but the mobile camp play supports a number of activities that are tied to those developments, but most particularly the SAGD drilling effort and then the follow-on is the pipeline connections necessary to get the bitumen into processing facility then so we had a decent amount of camps dedicated to pipeline construction, neither of those two activities or have ongoing activity particularly the early stages of break out. It really depends on weather conditions, but typically the third quarter kicks off and ramps through the fourth and then peaks in the first as it relates to mobile camp type activity. And there is no reason to think that’s really nay different this year.
Kevin Pollard: So if we just sort of think about all of the moving parts in the oil sands business for you, through the year you will have the accommodations will stay consistent and grow as the other new capacity comes on line you will probably get at least a portion of your mobile camp revenue back in Q3 and Q4. Is that kind of the way that you guys think about it?
Cindy Taylor: That is exactly right. And realize that when we do our economic analysis in making investments in mobile camp, we typically assume 90 to 120 days of utilization. So all the economic analysis is based on the seasonal impact that are present in this market place.
Kevin Pollard: Okay, thanks. And then if I could switch back over to the land drilling business, in the past you filled a few new rigs, kind of backed off as the market softened last August, the outlook looking better, can you give us an update on what your thoughts are on additional expansion in that business?
Cindy Taylor: What we are doing with our land rigs late is really bringing on capacity that’s commensurate with our existing kind of customer base need. We are not per se building a lot of speculate type of rigs. As an example, we delivered two in the Rockies, I think in the third quarter or at least the last half of last year pursuant to term contract with one of our major customers. We brought a rig out earlier this year for work in the Barnett, which is a market that we won a new incremental asset in. We delivered one rig within the last week to two weeks that we were building and completed. And you are right we didn't eliminate that program, but we certainly scaled it back with capacity concerns that hit the marketplace. However, we have one rig that within our plan that is in the early stages of construction that we will continue with and deliver into the market late in the year; it's my recollection in terms of the timing there. We will evaluate that, but ideally if we build new rigs that would be pursuant to term contracts if in the Rockies number one or penetrating newer markets for us, which targets other Barnett shale and the Fayetteville. Those are kinds of the circumstances. I think spec rigs for the Permian not carefully likely.
Kevin Pollard: Okay, thanks. And then one last question just on the rental tool side. How much longer are you expecting the startup costs that you have pressured the in margin Q1 to persist, is that something that you are largely done with or is that going to have a lingering effect over the next quarter or two?
Cindy Taylor: It will have a lingering effect, I mean, particularly we have got a new operation, we are kicking off with Pemex in Mexico. We are just now beginning to get some of the tool on a rental basis that are certainly located down there. We got the office set up and the people in flight, but it will continue to ramp through 2Q, but these are not huge dollar amounts. I mean, it’s incremental locations. We have got some product line expansions. Again, if you go back to the underlying strategy here, we bought two businesses in the third quarter of 2007 that had well established operations within the market that they served. However, we had greater plans to expand their particular product line, service lines into our broader network, rental tool locations with immediate short time target in Arkansas, the Fayetteville and the Rockies and a little bit may be in the Mid-con. Again, those are efforts that will pay off in the long term.
Kevin Pollard: Good. That’s all I had. Thanks Cindy.
Cindy Taylor: Thank you.
Operator: (Operator Instructions). And I will now -- have the next question from Stephen Gengaro from Jefferies. You may proceed.
Stephen Gengaro: Hi good morning.
Cindy Taylor: Hey Steven.
Bradley Dodson: Hi Steven.
Stephen Gengaro: I guess just kind of one question with I guess two parts, but on the acquisition front, can you kind of give us kind of an update on what you are seeing from an acquisition place perspective? And then maybe as a follow on that, are there any areas of businesses, geographically your business lines that you are not in, that you have some interest in, that you feel would fit it well with the product and service mix?
Bradley Dodson: Steve, I will tackle that and let Cindy add to my comments. The market right now has stabilized. I think we are seeing relatively attractive valuation levels particularly in the private and kind of smaller deal space. In terms of areas that we are keenly looking at, I think as we have always said, we would like to look at products that are additive to our offshore product suite in the deepwater capital equipment area. Those will be harder to do but we continue the diligent effort to source those deals. And the other area that we will be focused in on is providing equipment and products that are complementary to our completion services and rental tool strategy, anything that is involved in the kind of shale play or US based or North American base area that’s related to completion and production, we are going to focus in on. So, we are looking at opportunities in that area as well and in Canada. And we are -- I think the accommodation side, we did the one small acquisition. We continue look there, but right now there appear to be more organic opportunities in that area than our acquisition just kind of due to the maturity of that market.
Stephen Gengaro: Is there and just maybe – well, when you look at the opportunity on the offshore product side, would that be in area -- would you have deviate from your, what I kind of view as your extremely sound financial approach to these acquisitions for something that maybe a bit more strategic?
Bradley Dodson: I think that we will -- you have to value each of the businesses on what they bring and so the valuation levels for a highly technical equipment manufacturer for deepwater is very different than it is for a rental tool business or Tubular Services business. So, it implicit in that and if valuation levels different between those opportunities, yes. When we look at deals that are dilutive, no, not over the short term, we try to keep all accretive deals and know that we can make our return on capital goals over the long term.
Cindy Taylor: Yeah, I think maybe the only exception to that would be if we found an opportunity with a newly developed type technology that's yet to been commercialized or there would be rare exceptions to that. But again if it has strategic merit you got to evaluate it, but it’s tougher for us to do deals that are dilutive.
Stephen Gengaro: That makes sense to me. The other just quick follow up, your offshore product side, would you -- how would you classify the sort of a bidding activity levels right now into the mix of those opportunities?
Cindy Taylor: As evidenced by our backlog continue to hold and flatly build our backlog, I would say bidding activity, it feels about the same as I have said before I think over time we are going to end up possibly with a more weighting towards floating production facility type work, production infrastructure, subsea pipeline, and maybe to a lesser extent our drilling equipment. Although, again a lot of the wench work that we were awarded in 2005 has already been brought into our revenue base so that trend line is already beginning to turn just a bit. So, I think that’s the macro environment, but overall depending upon timing of awards being let, I feel pretty good about the overall tone of the backlog and the strength for the next several years.
Stephen Gengaro: Very good. Thank you.
Cindy Taylor: Thank you, Stephen.
Operator: And at this time, we don’t have any further questions in the queue. I will turn the call over to Ms. Cindy Taylor for closing remarks.
Cindy Taylor: Well, I just appreciate all of your support and efforts to call in. I know it’s a very busy week, so we appreciate your time and look forward to hopefully another very good quarter. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes the presentation for today. You may now disconnect.